Operator: Hello. This is the Chorus Call operator. Welcome to the Miller Industries Third Quarter 2014 Results Conference Call. (Operator instructions) Please note that this event is being recorded. At this time, I would like to turn the conference over to [Ms. Katie Pyra]. [Ms. Pyra], you may begin.
Unidentified Corporate Participant: Thank you. Thank you, and good morning, everyone. I would like to welcome you to the Miller Industries conference call. We are here to discuss the company's 2014 third quarter results, which were released after the close of the market yesterday. With us from the management today are Bill Miller, Chairman of the Board; Jeff Badgley, Co-CEO; Vince Mish, CFO; Frank Madonia, Executive Vice President, Secretary and General Counsel; Debbie Whitmire, Vice President and Corporate Controller; and Allison Houghton, Director of Finance. Today's call will begin with formal remarks from management, followed by a question-and-answer period. Please note in this morning's conference call, management may make forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I'd like to call your attention to the risks related to these statements, which are more fully described in the company's annual report filed on Form 10-K and other filings with the Securities and Exchange Commission. With these formalities out of the way, I'd like to turn the call over to Jeff Badgley. Jeff, please go ahead.
Jeffrey I. Badgley: Thank you, and good morning. Our performance for the 2014 third quarter reflected continued underlying strength in the business as we experienced year-over-year increases in net sales, margins and overall profitability. An improving economic environment and positive customer sentiment in our industry have led to growth in order flow and a greater amount of activity in the markets. To keep up with that increased order flow and stay ahead of demand, we further ramped up production levels, which allowed us to both deliver orders to our customers in a timely manner as well as position the company for returns. Yesterday we reported 2014 third quarter sales of $118.4 million, compared to sales of $105.1 million in the prior-year period, an increase of nearly 13%. Our actions to increase production earlier in the year enabled us to benefit from this growth in orders and successfully expand our top line. Third quarter net income of $3.5 million or $0.31 per share represents an increase of 33.3%, compared to net income of $2.6 million or $0.23 per share in the third quarter of 2013. We also saw a significant year-over-year improvement in our operating margin, which is a direct result of our ongoing efforts to increase operational flexibility and control cost. The ongoing success that we generated underscores our ability to operate under changing market environments. As we continue to see improving conditions across our markets, we are better positioned to increase our profitability and enhance shareholder value for the long term. Now I'll turn the call over to Vince, who will review the quarter's financial results. After that, I'll be back with comments on the market environment and some closing remarks. Vince?
J. Vincent Mish: Thanks, Jeff, and good morning everyone. As Jeff mentioned, net sales for the third quarter 2014, were $118.4 million versus $105.1 million for the 2013 third quarter. Sales were up 12.6% year-over-year, reflecting a strong order flow from improving domestic and international commercial markets, as well as an improving economic environment. Cost of operations increased 11.8% to $105.4 million in the 2014 third quarter, compared to $94.3 million last year, driven primarily by the higher sales volumes and costs related to increasing production levels. Gross profit was $13 million or 11% of net sales in the third quarter of 2014, compared to $10.8 million or 10.3% of net sales in the third quarter of 2013. Gross margin was higher than the year-ago period due principally to the higher sales levels. SG&A expenses were $7.2 million in the third quarter of 2014, compared to $6.7 million in the third quarter of 2013. As a percentage of sales, SG&A decreased to 6.1% from 6.4% over the prior year period, which primarily reflected our ongoing focus on costs. Other income expense net for the third quarter of 2014 was a loss of $31,000 due to foreign currency transaction losses. This compares to a net gain related to foreign currency transactions of $11,000 in the third quarter of 2013. Interest expense in the 2014 third quarter was $178,000, compared to $102,000 in the third quarter of 2013. The increase reflects higher interest expense on distributor floor planning and chassis financing. Net income attributable to Miller Industries in the 2014 third quarter was $3.5 million or $0.31 per diluted share. This represents a 33.3% increase from income in the third quarter of 2013, up $2.6 million or $0.23 per diluted share. Net income in the third quarter of 2013 excludes a net loss attributable to non-controlling interest of $98,000 related to the Delavan joint venture. Now let me briefly review our results for the 9 months ended September 30, 2014. Net sales for the first 9 months of 2014 were $345 million, compared to $295.9 million in the prior year period, an increase of 16.6%. Gross profit was $36.4 million or 10.6% of sales, compared to $31.2 million or 10.5% of sales for the first 9 months of 2013. Income in the first 9 months of 2014 included a net loss in the first quarter attributable to non-controlling interests of $66,000 related to the Delavan joint venture. Excluding that loss, net income attributable to Miller Industries in the first 9 months of 2014 was $9.3 million or $0.82 per diluted share, which is a 35% increase in net income attributable to Miller Industries in the first 9 months of 2013 of $6.9 million or $0.61 per diluted share. Turning now to our balance sheet. Cash and cash equivalents as of September 30, 2014, were $36.3 million compared to $39.1 million at June 30, 2014, and $42.9 million at December 31, 2013. Accounts receivable at September 30, 2014, totaled $99 million compared to $96.1 million at June 30, 2014, and $80.8 million at December 31, 2013. Inventories were $65.6 million as of September 30, 2014, compared to $55.2 million as of June 30, 2014, and $54.2 million at December 31, 2013. Accounts payable at September 30, 2014 were $64.7 million compared to $56.8 million at June 30, 2014 and $47.4 million at December 31, 2013. The decrease in cash balances and the increase in account receivable, inventory and accounts payable levels are all a reflection of our increased production and sales. We continue to operate with no borrowings under our $25 million unsecured revolving credit facility. The company also announced that its Board of Directors has declared a quarterly cash dividend of $0.15 per share payable December 15, 2014, to shareholders of record at the close of business on December 8, 2014. Now I'll turn the call back to Jeff for further remarks.
Jeffrey I. Badgley: Thank you, Vince. As I mentioned earlier, we are encouraged with the growth in our order levels and with our performance in the third quarter. We generated strong levels of profitability and expanded our earnings from the year ago period. Our decision to continue ramping up production levels helped deliver strong revenue growth and positive results overall. We continue to see strong interest for our products domestically and on an international basis. Our global expansion initiatives coupled with our ongoing focus on innovation and new product introductions continue to drive a greater amount of quoting activity. We are making progress on our efforts to expand in the Asia Pacific, Latin American and other regions worldwide and we are pleased with the pick-up in our order levels. A French military order continues to demonstrate our ability to execute large size orders both on budget and on time. Overall, we remain encouraged by our international initiatives to expand our distribution channels across key growth regions. Looking ahead our initiatives to control our cost, operate efficiently and increase production have positioned the company well as we continue to deliver against our goals. We are confident in our future prospects, which will continue to be driven by our active efforts to produce strong cash flows and our solid balance sheet. Additionally, we will continue to return value to our shareholders and will continue with our quarterly dividend of $0.15 per share in 2014. Overall we are pleased with the progress we have made and the results we have produced over the first nine months of the year and we look forward to ongoing operational and financial success going forward. In closing, I'd like to thank our employees, our shareholders, our suppliers and our customers for their ongoing support of Miller Industries. With that, we're ready to take questions. Thank you.
Operator: (Operator instructions) The first question comes from Walter Lang with Avondale Partners.
Walter Lang - Avondale Partners: Okay. Hi guys. Great quarter, congratulations.
Jeffrey I. Badgley: Hi Walter.
J. Vincent Mish: Thank you.
Walter Lang - Avondale Partners: Just some questions from your discussion earlier on the call as well as your press release, it sounds like you are not seeing any weakness in order flow from Europe?
Jeffrey I. Badgley: At the end of the third quarter, Walter, I visited Europe and during the third quarter we had strong order flow. We did see a little dip at the beginning of this quarter, and particularly in France. [Indiscernible] and looked at last year and this time – at this time of the year last year, we had the same kind of dip. It wasn’t dramatic, and I would say our backlog in Europe is still over – is up as a percentage basis over last year.
Walter Lang - Avondale Partners: Okay.
Jeffrey I. Badgley: Am I concerned? Certainly because things can happen quickly. We are not in any kind of panic mode over their order levels or order intake.
Walter Lang - Avondale Partners: And then could you expand upon further progress you have made on the French military order?
Jeffrey I. Badgley: We have delivered to our French subsidiary the center sections that we were required to build in the US to fulfill the contract. The French subsidiary has not completed the building process at the end of the third quarter. We do expect them to finish that contract by the end of the fourth quarter of the very beginning of the first quarter.
Walter Lang - Avondale Partners: And how do you feel about the prospects for extension in that contract?
Jeffrey I. Badgley: I hate to obviously – I hate to guess. I would tell you Walter that every trip I make to Europe or every phone call I have with the client, they tell me be patient, be patient. So, I don’t want to put percentages on it. We continue to work on other contracts, but all I can say is we got to wait and see.
Walter Lang - Avondale Partners: Okay, thanks. And then could you comment on the verbage in the press release, we remain committed to deploying our assets to enhance shareholder value. Above and beyond the dividend how to interpret that?
J. Vincent Mish : This is Vince. I don’t know that there is any hidden message in that. I mean we are trying to expand globally like we have been doing. We do have the dividend just in general take care of the assets we got and deploy them as best we can expand and meet demand and so forth.
Walter Lang - Avondale Partners: Okay.
Bill Miller : Walter this is Bill.
Walter Lang - Avondale Partners: Hi Bill.
Bill Miller: I think the last part of that comment had a lot to do with the fact that when our volume goes up as you are familiar, it is kind of like a rabbit going to the boa constrictor. So you can see our inventory is going up, our receivables are up, and that is just an indication and I guess [Indiscernible] deploying the assets, we are putting the capital to work to produce more units because our backlog is strong.
Walter Lang - Avondale Partners: Okay. [Indiscernible] read that, I know just yesterday I saw the CEO of Marathon Petroleum quoted as saying that since prices at the pump have gone down, their same-store sales are up 1%, which I guess per gas station is a lot. Have you – do you sense any benefit from your standpoint if miles start increasing because of lower gas prices?
Jeffrey I. Badgley: I think Walter since the IPO there is a strong relationship between telling incidents and miles driven. So to quantify that I haven’t seen any articles or projections on increasing miles, but certainly there is strong indication that the more people drive the more opportunity for incidents. But I hope that wouldn’t put our final customers or end customers in a better position financially –
Walter Lang - Avondale Partners: Jeff, and I think what [Indiscernible] – what percentage of their expenses of the term companies is fuel, [around 20]?
Jeffrey I. Badgley: [Indiscernible] I think that it was more in the neighborhood of 24%, 25%.
Walter Lang - Avondale Partners: So, clearly that is improving their margins?
J. Vincent Mish: Sure. Their cash flow is enhanced just by lower gas prices even without increased towing activity.
Walter Lang - Avondale Partners: And then do you get any benefit on some of the raw materials from the lower petroleum cost, does that flow some of your raw materials?
Jeffrey I. Badgley: I’m sure energy costs have an impact on raw material costs, but I think as demand has been rising due to economic upturn, I don’t know but [Indiscernible] get a downturn in prices.
Walter Lang - Avondale Partners: Okay.
J. Vincent Mish: We certainly haven’t seen it yet Walter.
Walter Lang - Avondale Partners: Okay. I appreciate it. Great quarter.
Jeffrey I. Badgley: Well, we will use that as a strategy next time you talk to us.
Walter Lang - Avondale Partners: You do have some components that have some petroleum-based products.
Jeffrey I. Badgley: Absolutely.
J. Vincent Mish: Absolutely.
Walter Lang - Avondale Partners: Okay. Thank you.
J. Vincent Mish : Thank you.
Jeffrey I. Badgley: Thank you Walter.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jeff Badgley for any closing remarks. Please go ahead.
Jeffrey I. Badgley: So again in closing, we would like to thank our employees, you our shareholders, and our suppliers and customers for their support of Miller Industries, and tell you that we look forward to reporting our fourth quarter results in our next conference call. Thank you for joining us.
Operator: This concludes today’s event. Thank you for attending today’s presentation. You may now disconnect.